Operator: Good morning, everyone, and welcome to the ClearOne 2017 Third Quarter Financial Results Conference Call. This call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to the company's Investor Relations representative, Ms. Cathy Mattison of LHA. Ms. Mattison, please go ahead.
Cathy Mattison: Thank you, Tyron. Welcome, everyone, and thank you for joining us today for the ClearOne Third Quarter 2017 Results Conference Call. On the call today are Zee Hakimoglu, President and CEO; and Narsi Narayanan, Senior Vice President of Finance. Please note this call is being broadcast live on the Internet at www.clearone.com, and the playback will be available for at least three months. Before we begin, I would like to make the cautionary statement and remind everyone that the information discussed on the call today is covered under the Safe Harbor provisions of the Litigation Reform Act. The company's discussion today will include forward-looking information reflecting management's current forecast of certain aspects of the company's future, and our actual results could differ materially from those stated or implied. Today, Zee will open with the business update, then Narsi will follow up with a discussion of our financial results. We will then open the call for questions. Now it is my pleasure to turn the call over to Zee.
Zee Hakimoglu: Thank you, Cathy, and good morning, everyone. In the third quarter, we delivered several sequential improvements. Total revenue increases were driven by a large order that included a mix of video and just about every Pro-audio product we offered, demonstrating our total solution strategy. The percentage of CONVERGE Pro 2 in our professional audio revenue mix also increased. And video product revenue grew 56%, as we continue to capitalize on the migration to software-based videoconferencing application. On a year-over-year basis, video grew 66%. As discussed on previous calls, the company is going through a major product transition and we knew it would take the better part of the year. Trends, in our favor, include sequential revenue growth and increasing revenue contribution from video. ClearOne's ability to anticipate and intercept market needs drives our success. To serve the growing demand for video collaboration and cloud-video services, we developed a sound video strategy to complement our foundation audio end point. Our comprehensive portfolio of audio and video conferencing endpoints and peripherals offer compelling features, affordable prices and unified-solution capability. In October, our complete solution garnered prestigious industry recognition. The 2017 Frost & Sullivan Award for converged audio and videoconferencing competitive strategy innovation and leadership. This award cited ClearOne's diverse video collaboration product and services portfolio for its ability to cater to businesses of varying sizes, industries and technology requirements with a high degree of customization. We believe our strategy gives customers the value they demand. In summary, this industry validation of our product footprint reaffirms our belief that ClearOne is positioned to grow further and achieve larger customer mind share. In addition, Frost & Sullivan's new analysis, Global Audio Conferencing Endpoints Market Forecast to 2021, which was published in October, found that ClearOne continues to lead the installed audio conferencing space, with a market share of 53.8% in 2016. No other company offers the range of conferencing and collaboration solutions that we do across all platforms and for all vertical markets. ClearOne is the industry's only complete one-stop source for integrators and consultants to turn to for every installation requirement. To drive revenue growth, we are increasing our attention and resources to sales and marketing initiatives as we've stated before. Our initiative includes focusing on smaller regional arenas, adding headcount to sales team for increased feet on the street and bringing on new regional channel partners to boost sales opportunity funnels. Our public relation's initiative on the marketing side has dramatically increased our exposure in the last few months alone, featuring ClearOne in dozens of industry publications, including some great success cases across all product lines. Our new 35-foot touring van will soon be crisscrossing the United States, making possible live demonstrations of ClearOne's full-line of conferencing, collaboration and streaming solutions to AV integrators, consultants and their end-user who can't always get to larger trade shows and conferences to see and hear our products. In conjunction with the touring van as we mentioned, we will be launching our brand-new website that is redesigned and organized to more effectively showcase our comprehensive solutions and services. With its modern look and feel, it will be optimized for partners and customers to easily find the information they need. During Q3, we began shipping some new video and audio products to complement our existing lineup. We expanded the capabilities of our media collaboration Pro-1 solutions by offering native compatibility with Skype for business available through an optional software upgrade. The native Skype for Business option makes COLLABORATE Pro the most versatile video-collaboration system on the market today for any workplace. We began shipping our new COLLABORATE Versa 150 that delivers ease of connectivity for BYOD or bring your own collaboration in huddle spaces and meeting rooms. The Versa 150 significantly enhances the audio and videoconferencing experience of PC-based applications such as GoToMeeting, Hangouts, Skype for Business, our own Spontania, WebEx and other, and includes a ClearOne camera, ClearOne speakerphone and ClearOne USB hub. Also during the quarter, we began shipping the UNITE 150 USB camera, an economical USB only addition to our professional-grade camera lineup for PC-based applications only. On the Pro-audio front, we began shipping additional models of our new CONVERGE Pro 2 platform as well as a new wireless microphone system. We began shipping the 2 new CONVERGE Pro 2 DSP mixers in Q3. One new model addresses Pro-audio conferencing needs for smaller scaled rooms using VoIP connectivity and the other addresses the need to easily and economically increase the number of microphones in a conferencing room. A touch panel controller designed exclusively for the CONVERGE Pro 2 platform also started shipping in Q3. The controller provides the simplest intuitive interface to manage and control conference calls for environments that don't need expensive and highly-complex control systems. Finally during Q3, also to ship was the DIALOG 20, a compact 2-channel wireless microphone system that empowered smaller venues on smaller budgets such as training rooms, presentation venues and offices. This system conveniently uses the unlicensed 2.4 gig frequency band. These new products are significant additions to our Pro-Audio and video platforms that will drive adoption and growth by offering additional unbeatable options to outperform in any size room, any conferencing environment and any application. We remain very confident in our product set, which continues to receive awards and market recognition. Going into the fourth quarter, we are confident 2018 will shape up to be a better year. Now I'll turn the call over to Narsi.
Narsi Narayanan: Thank you, Zee, and good morning, everyone. So before I begin, I would like to note that I will be discussing certain non-GAAP financial measures. The reconciliation is included in our earnings release that went out this morning. Now I will turn to our financial results for the third quarter of 2017. Net revenue was $10.6 million compared to $12.9 million in Q3 2016 and $10.3 million in Q2 2017. Reviewing the year-over-year change in percentage of revenue by region. The Asia-Pacific including the Middle East, increased 43%; Europe and Africa decreased 3% and Americas decreased 37%. Reviewing the year-over-year revenue change in percentage by product category. Video increased 66%, professionally decreased 30%, and UC endpoints declined 25%. Non-GAAP gross profit margin was 62% compared to 62% in Q3 2016 and 59% in Q2 2017. Sequential improvement in gross margin was largely due to higher than usual gross margin from the large order that was fulfilled in Q3 2017. Non-GAAP operating expenses were $6 million compared to $5.5 million. Most of this increase was from increased sales and marketing and R&D spending, offset partially by reduced G&A expenses. Based on the results of the company's recent impairment analysis triggered by the fall in the company stock price and recent financial performance, the company determined that the entire goodwill and intangible assets, some portion of intangible assets were impaired and recognized impairment charges amounting to $13.4 million. Non-GAAP operating income in Q3 2017 was $526,000 compared to non-GAAP operating income of $2.5 million in Q3 2016. The bulk of this change was due to reduced revenue and gross margin. Non-GAAP net income was $766 -- $760,000 or $0.09 per diluted share compared to non-GAAP net income of $2 million or $0.22 per diluted share in Q3 2016. Non-GAAP adjusted EBITDA was $743,000 compared to $2.7 million. Now turning to our financial results for the nine months ended December 30, 2017. Please note the following comparisons refer to first nine months of 2017 versus the first nine months of 2016. Net revenue decreased to $32.5 million from $37.9 million. Non-GAAP net income was $807,000 or $0.09 per diluted share compared to non-GAAP net income of $5.2 million or $0.55 per diluted share for the prior period. Non-GAAP adjusted EBITDA was $1.7 million compared to $7.7 million. Turning to the balance sheet. We continue to be very strong. Cash, cash equivalents and investments were $23.4 million compared to $38.5 million at December 31, 2016, still without any debt. The significant portion of this decrease can be attributed to patent-litigation expenses, share repurchases, dividend payments and higher investment in inventory related to the new CONVERGE Pro 2 platform and wireless microphones, which is expected to flow back into cash in 2018. During the quarter, we continued our shareholder-friendly actions. We repurchased approximately 140,000 shares for a $1.1 million, bringing the total to 976,000 shares for $10.2 million, since the program commenced in March 2016 and was renewed and extended by the board in March 2017. We intend to continue to repurchase our shares in the open market, subject to price, volume and other Safe Harbor restrictions. Also, the company paid a cash dividend of $0.07 per share for Q3 2017. And now I will turn the call back to Zee.
Zee Hakimoglu: Thank you, Narsi. We are pleased our product transition delivered favorable trends in the third quarter. As I noted, we remain very confident in our product set and we are confident in our prospects for 2018. Operator, please call -- open the call for questions.
Operator: [Operator Instructions] Our first question is from Kara Anderson of B. Riley. Your line is open.
Kara Anderson: Just wondering if you can talk about any implications to operating expenses from, I guess, the increase in attention to marketing going forward versus the 6 million in OpEx you saw in Q3.
Zee Hakimoglu: Yes. We're going to be, of course, very vigilant in our spending in sales and marketing and as we have been. We didn't expect an increase of greater than 20% throughout the year in that area and have been trying to stick to that framework.
Kara Anderson: Okay. And then, I think you're now two full quarters in with CP2. Can you talk about how the sales cycle is shaping up relative to your internal expectations? And then second to that, how the overall quarter performed relative to what you had expected?
Zee Hakimoglu: Okay. What we're seeing is more opportunities where we had participated in tenders and quotes. In fact, what we see is really that the CP1 product interest is diminishing clearly. The CP2 is getting quoted in more opportunities and some of them are important opportunities for us. And so, we see a nice pipeline. Also, the consultants, now that we have the complete suite and have made significant additions to our software features and have added even some of the products that we just introduced in Q3, which are important on an overall job, we see good interest from many of the consultants in the industry. I would say also, that we see improvement in various regions. We could speak about the various regions which had faster adoptions than others. We still have particular regions that we think there's more to do and we understand the prospect and we're working on those by making adjustments as we need to. So while not every region has the same level of progress, I would say overall, we're seeing good progress on the CP2 adoption and interest.
Kara Anderson: And then, why were the prepaid expenses up so much in Q3 over Q2?
Narsi Narayanan: Actually, it's not prepared expenses, it's the big write off with goodwills has given us deferred tax assets. So it's right now included in that category, prepaid expenses and other assets. When we do our end Q, you will see it's properly broken out and put in its own spot with deferred tax of -- we got all these confirmations very recently. So we could not get it into the balance sheet before that. It's mostly deferred tax assets.
Kara Anderson: Got that. And then I apologize if I missed this discussion around the inventory bump. But it was up again? And I think on the last call, you had expectations for that to come down at the time, I think it was the next six months. Can you talk about what's changed?
Narsi Narayanan: Yes. I think it's -- we made attempts to get the forecast revised and our pipeline with the suppliers changed. But we found out it's going to cost us quite a bit, both in terms of the margins as well as our relationship with the suppliers. So we have decided to go with the original forecast and for the sake of profitability and also for other qualitative reasons. We have commitments till January 2018. And so, our inventory will likely go up in Q4, but it's not going to go up significantly. It'll go up. But starting Q1 2018, it'll start going down, actually. And over 2018, we will see the cash coming back actually. It would be -- to the tune up our at least $2 million a quarter, it'll come back. And all these things significantly depending on our revenue growth actually. And we're hopeful that 2018 will be much better year in terms of all these new products that we have introduced and it's going to reduce the pressure on our inventory, that's one. The second thing is, whenever we introduced new products, like something as big as CP2, we have to be prepared. And in fact it was our long-term commitments and especially, you might have heard about all the recent spectrums in the -- especially with the semiconductor market. The anti-electronics supply chain have been facing quite a bit of imbalance between the capacity built versus the demand. Even simple things like the SSD hard drives and memory, it's taking a longer time to fulfill. And since we are not like Intel or Cisco who can demand whatever they want. We have to play by the rules. And the rules require us to place these orders well in advance. So we can get it on time and get the products available on the shelf actually. So it would be -- we are cautious, we have cash. So -- and we're cautious about making the products available with all the new products introduced. We have to be cautious about having enough inventory for a possible uptick. And I think 2018, we hope that this will all be returned back into cash.
Operator: The next question is from Lisa Springer of Singular Research.
Lisa Springer: I wanted to ask you about. Are you seeing sales of CP1 wind down in favor of CP2? Or was it still a large percentage of the revenue mix during Q3?
Narsi Narayanan: It's still going up, CP2 combination. The percentage in the mix is going up actually. And as I speak today, we're looking at Q4 results so far. And it's going up significantly, actually. The mix is going up actually, yes.
Lisa Springer: Okay. And you had a nice reduction in Q&A expenses for the quarter. How should we think about Q&A going into the fourth quarter?
Narsi Narayanan: You're talking about G&A, right?
Lisa Springer: Yes, G&A, right.
Narsi Narayanan: Yes, we don't expect any significant increase. Further reduction, I think, it should stabilize between the non-GAAP amount of $800 to $1 million dollars. And I think we have been pretty much under that this year, and it will continue actually.
Lisa Springer: Okay, good. And is there anything new to update us with regarding the litigation?
Zee Hakimoglu: We -- I would say that we continue to make progress on the litigation. We're doing all the things under advisement of our -- I would say excellent litigation team. And we're doing everything we can to protect the interest of the shareholders. As I've said before, we have a good litigation track record and we have our eyes wide open and we anticipate and hope that it will ultimately benefit the company.
Operator: Our next question is from Dennis Van Zelfden of Brazos Research.
Dennis Van Zelfden: What were the litigation expenses in the quarter and year-to-date?
Narsi Narayanan: I don't have the year-to-date numbers handy. But the litigation expenses for patents that we capitalized this quarter in Q3 were $845,000 actually.
Dennis Van Zelfden: That's all in 1 quarter?
Narsi Narayanan: Yes.
Dennis Van Zelfden: Okay. It's a big number. What's left on your buyback program?
Narsi Narayanan: It's about $4 million is left actually.
Dennis Van Zelfden: Okay. Zee, we're all aware of the negative impact of the product transition on revenue. Can you quantify if there is any, the impact on revenue from your competitors infringing on your patents?
Zee Hakimoglu: It's a good question, and I couldn't share that. That is under the review of our attorneys. But certainly, we would not be litigating unless we felt that there was an impact and there is an impact. We're competing against our own patented technology, which is unfortunate. And we're going to do what we feel we need to do properly, manage our expenses and protect the interest of the company and its shareholders. Patents are there for a reason and we respect the system and we're going to go to court and we are in court to try to defend our intellectual property.
Dennis Van Zelfden: Okay. Someone else had mentioned that you're about two quarters into the product transition. And if I remember correctly, you guys have said and on past calls, that it normally takes somewhere between two and four quarters on a typical product transition to return, for the new product to take over the revenue decline of the old product. Do you still see that? i.e in about 2 quarters? Or a maximum, maybe in two quarters, we're going to return to growth?
Zee Hakimoglu: We're looking at 2018 for growth. And to speak about the transition, in fact, we did not appreciate the extent that the differences in the CP2 and the CP1 would -- how it would impact as it did. We knew that there would be an impact. We did a design, which on the bright side was very impactful. It is extremely modern, very effective, has many new features and functionalities and addresses the needs of the market. So we're pleased that we really took a leap in the next generation. But at the same time, we underestimated the transition, but we're pleased with the changes we made. Our goal and our survival and our growth is based on offering the best audio-conferencing performance. And if it takes a bit longer to get the products in the channel then we have to bear and grin it, and that's what we're doing now. We're getting good feedback. The channel likes it. They're going through training, they love it, but they got to spec it in. And the reality is, today, we have many more competitors. It's an attractive market, people want to displace ClearOne. They want to do it rather by taking our technology or they want to get in and get into our market. And we're going to just have to spend a little more time and effort, both with excellence in products, excellence in sales and markets to defend our territory and see growth. Technology is not an easy game. But I think, we've proven that we can play it and win.
Dennis Van Zelfden: So you're not kind of pinpointing a particular quarter in 2018 when we can expect a return to growth, just sometime during 2018?
Zee Hakimoglu: I would hesitate to pick a time on a quarter. And I wish I could see a quarter. And if I could pinpoint, I might even share it with you. But it's a complex business, it's based on quotes, long-term projects, large and small and it's very difficult at this point to point to a particular quarter. But we're seeing good quoting activity and that's always a nice indicator.
Operator: [Operator Instructions] We have a question from Michael Kay of Kay Associates.
Michael Kay: Is there any -- do you see any light at the end of the litigation tunnel. I mean how long has it been going on? And is there a possibility that if ClearOne is victorious, there could be significant damages awarded to ClearOne?
Zee Hakimoglu: I think in terms of how long we've been involved, we can probably clearly say that since we got notice that the patent will issue from the U.S. PTO, we began our activity in whole. And I don't recall the exact date, but it was certainly last quarter when we -- or was the quarter before...
Narsi Narayanan: 2016.
Zee Hakimoglu: 2016. The end of 2016 is when we began the litigation process. And part of the litigation and how it will roll out, it's dependent on the other side. We have control of our approach and our strategy and what we need and want and the other side has a big impact on the control of what they will do. So we have part of the control, but part of it, we don't have and so we will do our best to manage the expenses and manage the litigation and we've always done that. And of course, assuming that we are victorious and we're looking towards being victorious, there will be consequences to have infringed on our patents, because we have given early warning and they are aware of our objection. And certainly we expect to be compensated for any and all of the business loss in addition to other perhaps intangibles that lawyers will look at.
Michael Kay: Are these much of those that are infringed on the patents? So they're much larger companies with much greater resources than ClearOne. So they could really draw it out through the litigation?
Zee Hakimoglu: Yes. In fact, they are. And some of them are older companies and certainly, they're larger and private as it turns out as well and less under the lens of their litigation expenses of course. But we've been in litigation before with large parties and have been victorious. And we will work this one as best as we can. And I think we're making good progress.
Michael Kay: And also, what's been the trend in international sales, especially in Asia, China? Do you see that as an important and growing markets for your products?
Narsi Narayanan: Yes, of course. We have had a consistent 30% plus market share from outside North America. And it's about 40% outside the U.S. as a whole. And India, Middle East, China, these markets have been pretty important and we have been focusing on it, yes.
Michael Kay: Okay. And you think it will be prudent to either cut back or eliminate the buyback program, given the results of the Q3? And also the expenses involved in litigation so that you could protect the dividend?
Zee Hakimoglu: I would say that of course, the board continues to have high confidence in the products and how well they've been received and confidence in the team. So they've committed to the repurchase program and the dividend. And of course, it is actively reviewed as it should be. So the board has decided that we're going to continue with that. Was there a question on the litigation, I...
Narsi Narayanan: No.
Zee Hakimoglu: Expense?
Michael Kay: Yes, it seems the litigation is very expensive, so you know not to put pressure on the balance sheet.
Zee Hakimoglu: Right. And we watch the balance sheet and watch our expenses, and we will make the appropriate decisions. But at this time, we feel that we have sufficient cash to exercise friendly actions such as these to our existing shareholders.
Operator: Our next question is from Alan Mitrani of Sylvan Lake. Your line is open.
Alan Mitrani: Were you talking about 2018 being the year of growth? I mean it's pretty clear, you've lost almost $18 million of revenue in a couple of years. So $16 million of revenue couple of years. So at some point, of course you need to grow. So my question is, can you size that growth for us? Give us a sense of where it is? Are the legacy products close to hitting rock-bottom? And I saw you lost 30% year-over-year in your professional area, it is the largest business you have. I mean at what point does this end and we can grow from? And what kind of growth rates are you talking about?
Zee Hakimoglu: Narsi, you want to get into the detail.
Narsi Narayanan: So yes, we don't have a crystal ball on when exactly it will turnaround. But based on the feedback that we are getting from the field and also all the upgrades and improvements we have done, based on customer feedback on what we have already released, the things like paper business that we have added, it's going to increase the space that we're going to play with our professional. And it's -- we still have the highest market share actually. You must have seen from the press release. Yes, it's still above 50% worth actually. So everybody's suffering, it's not just us actually. So with our transition happening at the same time, it's affecting us much more than even if the financials of other guys actually. But we're not resting in the fact that others are suffering, you have to put up with those, actually. We're doing everything that we can. And especially, focusing on sales and marketing side to be razor sharp on each region, maybe we can get the best out of the team. So we are doing everything on the product side, on the channel side, on the marketing side. And in professional, we think it'll have -- it has hit the bottom, and it should only go up actually. And we also have the other piece, which is the video, which has been growing consistently and in a sizable way. Even this large order we talked about is dominated by video, actually. And we can't have this kind of big orders or opportunities if we did not have the total solution strategy that we talked about actually. We need to have all the products to be able to play in this big products actually. So 2018 should be better. We don't give guidance. I hope it would be at least to go back to 2016, actually.
Alan Mitrani: Okay, I appreciate that. And then on video. Out of the $32.5 million of revenue so far this year. How much of it is video? What percent, roughly?
Narsi Narayanan: Video is, here it. Video year-to-date percentage is 18%, actually.
Zee Hakimoglu: 18%.
Alan Mitrani: 18%, okay. And on the big award, you said it impacted your margins, it was better than corporate gross margins. Can you give us a sense of how big that is, it was in the millions I assume? Is that...
Narsi Narayanan: Yes, we don't want to reveal exactly by project. It's confidential information.
Zee Hakimoglu: It's not unusual here to what we call a bluebird, we get them periodically. We would consider this one a bluebird and we wanted to disclose that, that we did get a bluebird. And it's not one a lifetime. It happens throughout the year and it came in at an optimal time with a nice mix of our total solution.
Narsi Narayanan: Actually, our pipelines still have big projects like this actually, it's about the timing actually. We can't say exactly that it'll happen this quarter or next quarter. But there are -- we always compete and work on big projects all the time actually. So it's a part of our strategy to be able to get into these projects and win them actually.
Alan Mitrani: Okay. Because that's really comes to what I'm saying. Because if this quarter, your revenues were down 18% year-over-year and you managed to get a very big contract. I want to understand as you said you can't time them, but it seems like it helped save the quarter from being an outright disaster to being maybe a little better than you thought it could have been. So I just want to know -- I only -- you never expect hail mary's every quarter. And I don't think you have that much more room to cut your cost. I just -- I really think you have to figure out a way to get your revenues up, whether it's better salespeople hitting the channels or really like you said, I think you're spending the money on marketing, I just don't know it. But as a shareholder, I could tell you I'm very frustrated. So I don't know how to put it any different.
Zee Hakimoglu: And we are as disappointed in our -- in not getting the results as quickly as we would like. But first in the market, we have to have great products. If we don't have that, as Michael pointed out on the last question than we can't compete. And we are a leader in that respect. And because we're public, we always watch our sales and marketing spend. We feel we have done a good job of putting a solid product suite that others try to duplicate in terms of our audio and video solutions. And at this point, we will prudently spend, strategically spend on sales and marketing, which I think can definitely be boosted to impact results. There's no question about it. I often say, that technology and products are innovative. The market in terms of products and technologies, they are under innovation. And we do a very good job tracking that. But the channel is also innovating the way people sell, the structure of the sales organization, how people buy, that is also changing and we're recognizing that and we're doing all of the pieces that we need to do to make sure that we capitalize on our good work on the products.
Alan Mitrani: Okay. And can you talk a bit about this write offs the -- I mean you made a number of acquisitions back in the '11, '12 and '14 time frame. Which acquisitions exactly did you write off?
Narsi Narayanan: Actually, the write off is not acquisitions specific, actually. It's tied to our market value reflected in our stock price actually. So we had write off the entire goodwill, that's $12.7 million, because our stock price is below our book value, actually. That's the reason this is triggered. It's not because of any one specific acquisition. Because we look at all -- at our entire business as one single business unit. So we are small, that's how we track our business. And reason for this is the market price drop actually.
Alan Mitrani: I appreciate that, detail so it's not specifically to any deal. But I was going back over your proxies while this call was going on and I see, you guys get quarterly payments if you beat out certain numbers and give quarterly incentives. And for years, it seems now, already you have not been paid the bonuses for gross margin and operating income and revenues. But just for non -- you know more quantitative issues. Is there something you could fix as it relates not just to your easier products suites, but maybe to your planning? So you don't end up stuck with having inventory tied -- piled to the gills. And elsewhere in this business while you're dealing with this and you could somehow maybe beat your numbers? Can you set the bar low enough and understand really what's going on? Do you need to make some changes in the management and the executive management suite to be able to do this because two, three years of missing the numbers, you don't get any bonuses? Probably is not good for you guys, and it's certainly not good for us.
Zee Hakimoglu: I will try to address that. We...
Narsi Narayanan: I can point out one thing.
Alan Mitrani: I would like to hear both of your ideas.
Zee Hakimoglu: Okay, you go ahead, Narsi.
Narsi Narayanan: Let me point out one thing. The CDNA I think you're looking at the compensation discussion analysis. It is compensation committee's work and they manage our pay structure and how we are paid. We have some input, but they decide. They are the final arbiters. And then as I mentioned, you would've noticed that the compensation committee likes to set up -- we have stretch goals and measures are based on it. So it's part of the approach to the entire thing actually. We do understand our obligations to the investors. How we have to deliver growth to be paid. Yes, it's not fun thing to watch us not being paid bonus. But compensation committee clearly understands that we don't sand bag, we don't set goals just to make sure that we can hit bonuses. We have said many times, we are not driven by immediate quarterly goals for our bonuses. We are more driven by long-term challenges to get the products out and to get the market share and also to get the profits up. Compensation committee is aware of this and yes we'll take your inputs and we'll work on it.
Zee Hakimoglu: I think Narsi has basically raised just about every point I was going to raise. And I think I can't really add much more to that.
Operator: Thank you, this concludes today's Q&A period. I like to turn the call over to Zee for any closing remarks.
Zee Hakimoglu: Okay. Thank you, for your time. And we look forward to the next conference call. And hope you have a wonderful day.